Operator: Good morning, ladies and gentlemen, and welcome to Univar Solutions' Third Quarter 2020 Earnings Call. My name is Carol, and I will be your host operator for this call. [Operator Instructions]. I will now turn the meeting over to your host for today's call, Heather Kos, Vice President of Investor Relations at Univar Solutions. Heather, please go ahead.
Heather Kos: Thank you and good morning. Welcome to Univar Solutions' Third Quarter 2020 Earnings Call and Webcast. Joining our call today are David Jukes, President and Chief Executive Officer; and Nick Alexos, Executive Vice President and Chief Financial Officer. Last night, we released our financial results for the third quarter ended September 30, 2020, and posted to our corporate website at univarsolutions.com a supplemental slide presentation to go with today's call. The slide presentation to be viewed along with the earnings release, which also has been posted on our website. During this call and summarized on Slide 2, we will refer to certain non-GAAP financial measures for which you can find the reconciliation to the comparable GAAP financial measures in our earnings release and the supplemental slide presentation. As referenced on Slide 2, we will make statements about our estimates, projections, outlook, forecasts and/or expectations for the future. All statements are forward-looking, and while they reflect our current estimates, they involve risks and uncertainties and are not guarantees of future performance. Please see our SEC filings for a more detailed summary of the risks and uncertainties inherent in our business and our expectations for the future. On Slide 3, you will see the agenda for the call. David will start with third quarter highlights and end market trends. Nick will walk through our financial update, and then David will close with progress on our Nexeo integration and business strategy. Following that, we will take your questions. With that, I'll now turn the call over to David for his opening remarks.
David Jukes: Thank you, Heather, and good morning, good afternoon and good evening to everyone, and thanks for joining our call. Our mission at Univar Solutions is to streamline, innovate and grow, and I'm pleased to see progress on that mission reflected in our Q3 performance, which remains solid as we continue to adapt to these challenging times and deliver results. As a company that is always serious about safety, this remains our highest priority for employees, suppliers and customers, and I'm pleased to report that all our facilities remain operational. Key highlights from the quarter are: we delivered solid earnings beyond the upper end of our expectations in a challenged environment. Although sales were down versus the prior year, we were able to partially mitigate the economic headwinds by selling to new customers, practicing disciplined margin management and implementing cost reductions. We continue to monitor changing customer demands as we operate in this new normality. I'll speak more on overall trends in a moment. We had strong liquidity of $730 million and are on track to end the year within our $750 million to $800 million guidance range. Our Nexeo integration remains on track, and we continue to make progress on our business systems migration. We continue to grow our digital capabilities and make progress on our sales force effectiveness, attracting more new customers. We advanced our newly launched S22 program, rounding out the leadership in our global specialty industry verticals and streamlining our business with the sale and exit of some nonstrategic assets. We continue to work with customers as they seek to return to higher operating rates with our suppliers as they do the same as well as manage some weather-affected outages in the Gulf region. As compared to the prior year, excluding divested Environmental Sciences business, July and August sales were down low teens while September was down mid-single digits. We continue to see accelerated demand in core products within the Consumer Solutions business, with a robust return of business in personal care as well as double-digit growth in our pharmaceuticals market. Many of our general industries experienced a solid July ended the quarter with a strong September. We benefited from return of the automotive sector, which is lifting demand in our Industrial Solutions business. Refining and chemical protein markets continue to be down significantly in both the U.S.A. and Canada. However, October rig count data gives some cause for optimism that we may have reached the bottom. As an insight into current trading, October sales have continued at the same levels as a good September, but we do expect a slower period in November and December driven by normal seasonal slowdown and the potential of resurgence of COVID-19-related shutdowns. As a result, our adjusted EBITDA guidance range for 2020 is $629 million to $634 million. For 2021, we'll give more detailed guidance on our year-end call in February, but we do expect the year to show growth in line with the economic dynamics of the year with some puts and takes that Nick will expand upon shortly. Longer term, we believe the actions we've taken and the S22 program further position our business for sustainable success even as the pandemic continues to disrupt life for the foreseeable future. We believe we have the right tools, products, people and strategy that will allow us to continue to deliver innovative solutions that customers and suppliers value and will deliver share growth. Now let me turn the call over to our CFO, Nick Alexos. He will walk you through our third quarter results and our outlook. Then I will close with an update on Nexeo integration and the Streamline 2022 progress and highlight our key business strategies.
Nick Alexos: Thank you, David. Hello, and good morning to all. I am pleased to share Univar Solutions' strong financial results and update you on our business activities. Constant currency net sales were down 15.6%. Excluding results of Environmental Sciences from last year's financials and FX, we estimate net sales were down approximately 11.1%. Gross profit, exclusive of depreciation, was lower by 9% to $496 million or 8.7% on a constant currency basis. Our gross margin expanded by 190 basis points to 24.7%, driven by a more favorable product and end market mix in our core businesses and a lesser benefit versus Q2 from nonrecurring and market volume and margin driven by COVID-related demand. We estimate gross profit, exclusive of depreciation, was down 4.1% on a constant currency basis when excluding results of the Environmental Sciences from last year's financials as well. Third quarter adjusted EBITDA of $165 million was lower by 10.6% and 9.7% on a constant currency basis due to lower demand in markets globally, price deflation in certain products, the Environmental Sciences divestiture and some S22 related expenses in Canada. The decrease was partially offset by Nexeo net synergies, favorable product mix and interim cost reduction measures. Excluding the Environmental Science business from last year's results, adjusted EBITDA was 5.2% lower on a constant currency basis. While we have good gross margins and we are managing our cost as planned, lower overall volumes impact our EBITDA margins. During the quarter, we captured net cost synergies related to the Nexeo integration of approximately $11 million for a year-to-date total of $41 million versus a revised $45 million for all of 2020. Q3 net income is $28.9 million or $0.17 per share compared to a net income of $2.5 million in the prior year period. The increase in net income was primarily due to the lower taxes and lower warehouse selling and administrative expenses, partially offset by lower gross profit. Adjusted earnings per share for the quarter was $0.34 a share compared to $0.36 in the prior year period as lower adjusted EBITDA more than offset lower interest expense and lower taxes. Working capital was our largest use of cash during Q3 as we guided on our second quarter earnings call, driven by the timing of working capital in our Canadian agriculture distribution business and a slight increase in our U.S. aged accounts receivable. Excluding the Canadian agricultural distribution business, which we are winding down and will be exiting in 2021, our net working capital would have been 14.4% of annualized net sales versus the 15.1% reported. The cash impact of higher working capital was partially offset by higher net income. Capital expenditures for the quarter were around $37 million, and Nexeo integration related expenses were around $12 million. We ended the quarter with cash on hand of $274 million and total liquidity, including availability under our asset-based credit lines of $730 million. Our ROIC was 9.4% for the quarter versus 10% last year. We expect these figures to improve as we continue to capture the synergies from integration as well as grow the business. The leverage ratio stands at 3.8%, marginally down from 3.9% last year. On Slide 8, we have aggregated the key metrics across our 4 reporting segments and provided detail in the appendix. Our 3 largest regions saw top line decline primarily due to the lower overall global demand. If we exclude the impact of divestments in energy, we see U.S. and Canada trends improving in each of our core business lines sequentially since Q2. In the U.S., excluding the impact of the Environmental Sciences divestiture, sales were down approximately 14%, also reflecting the continued headwinds in energy. In EMEA, a disproportionate benefit from COVID-related essential end markets in Q2, which tailed off, but has otherwise seen solid sequential trends. Lat Am continued to benefit from growth across its range of end markets. As I mentioned, in each of our geographies, we saw favorable product mix contribute to a higher gross margin with a lower impact from the COVID-related essential end markets. Our Canada segment gross margin growth was adversely impacted by a $5 million write-down of inventory as we manage down the Canadian agriculture distribution business. Total adjusted EBITDA margin expanded 50 basis points. U.S.A. adjusted EBITDA margin expanded by 60 basis points despite the adverse impact of energy and absorbing an increase in account receivable reserves. In Canada, margins declined primarily due to the ag inventory write-down. EMEA and Lat Am were solid contributors to the overall performance. Turning to the key highlights for the rest of 2020. We emerged out of the third quarter performing better than our expectations, and we are confident in our execution going into the fourth quarter. Despite strong momentum in September having continued into October, overall visibility remains limited due to increased uncertainty related to a COVID resurgence. We do expect our Q4 adjusted EBITDA to be in the range of $140 million to $145 million and our full year adjusted EBITDA to be between $629 million to $634 million. Our capital expenditures for 2020 will be $115 million to $120 million, which includes $11 million for a property we acquired this year that we now intend to sell and lease back. Nexeo integration expense, which is not included in our adjusted EBITDA, is expected to be $60 million for the year and cash use of other expenses and the timing of year-end accruals is now at $80 million, which is $10 million lower, of which $26 million has already occurred year-to-date as a use. We continue to target at least $100 million of cash available for debt paydown by year-end, pre any divestment proceeds, with liquidity to be in the range of $750 million to $800 million. Key S22 milestones through Q3 include: the closing on the sale of our industrial spill and emergency response business; announcing the exiting of our Canadian agricultural distribution business, we expect to generate over $70 million in cash, mostly in 2021 as we undertake an orderly wind down of our working capital. As of this week, we have an agreement for the sale of our Canadian agriculture services business, which is expected to close in Q4. Although definitive terms aren't being announced at this time, it will be additive to $100 million of cash available for debt paydown and accretive to our leverage multiple. We are increasing our S22 charges to approximately $90 million versus the $50 million guidance we gave last quarter. The change is principally due to goodwill and fixed asset impairments on the ag services divestment and some additional charges related to ag distribution exit. The total cash portion related to the S22 charges, however, has been reduced to approximately $10 million from $20 million. Most of this cash portion is included in our other cash use as we noted for 2020. These initiatives are integral to achieving net leverage of 3x by year-end 2021 and improving our margins. Although we are not providing you specific 2021 EBITDA guidance at this time, some key factors that we expect may impact our adjusted EBITDA and cash flow for next year are as follows. Given our breadth and range of strategies, our business will grow organically in line or better than the economy. Our EBITDA margins are expected to expand towards our S22 target of 9% at the end of 2022, driven by operating efficiencies while absorbing a pickup for more normalized incentive compensation and variable operating expenses related to next year. Versus our 2020 adjusted EBITDA results, Nexeo net synergies will be an incremental $25 million in 2021, offset by approximately $25 million of divested EBITDA and a $35 million to $40 million reduction in volume and margin of COVID-related products from essential end markets. We are equally focused on generating strong free cash flow. Capital expenditures are expected to be in the range of $120 million to $130 million as we are seeing good ROI projects in our business. Final Nexeo integration costs are expected to be in the range of $60 million to $70 million. We also expect our ongoing working capital to stay in our target range of 13% to 14%, and our other cash uses will normalize at an average level of $30 million. Separately, Net cash proceeds are expected to be $50 million to $55 million from the remaining liquidation of the net working capital related to the Canadian agricultural distribution, which is net of the $15 million expected to be realized in Q4 2020. Also, the gross proceeds from client divestments will generate an additional $200 million. Here again, less amounts to be realized in Q4 2020. I would like to further highlight the expected strong net free cash flow conversion of our company of approximately 40% in 2021 as we complete the Nexeo integration and execute on our S22 plans. Before I hand it back to David, I want to sincerely thank all 11,000 of our employees as well as our many constituents outside the company for the solid commitments during this challenging environment. David?
David Jukes: Thanks, Nick. Moving to our integration progress. Despite the COVID-19 obstacles, we successfully delivered on several significant integration milestones with $11 million of Nexeo cost synergies during the quarter and $41 million year-to-date. I'd like to highlight a few of those milestones now. We successfully kicked off the fourth wave of our business systems migration and are continuing to successfully service our customers while optimizing our processes. Our site consolidation plan continued, closing 6 branches in the quarter, bringing total closures to 25. We finalized the sale of 2 further sites with cash proceeds of approximately $4 million, remain on schedule to close at least 15 branches in total during this calendar year. Since December 2019, our real estate site sales have generated pretax cash proceeds of $70 million. Our system migration plan to a single SAP system and time line remained the same as we communicated last quarter. The U.S.A. is scheduled to complete in Q2 2021, with Canada and Mexico following up behind in the second half 2021. We're in the early stages of realizing the full benefit of optimizing our scale but remain wholly committed to our strategy of having a strong local presence for our customers. Moving to our business strategy progress. Sales force effectiveness remains a key driver of business improvement as we leverage our advantaged network of sellers in combination with our digital platforms. We continue to track our levels of pipeline growth, transactional activity, customer retention, margin management and effective activity at the local business level. Even with the obstacles of COVID-19, we've maintained momentum and continue to see good progress in the leading indicators. In the U.S.A., our average customer contacts remain at the elevated levels of Q2 despite restrictions on face-to-face visits. And I'm pleased to report that the trend started in the first half of the year, continued in Q3 as we welcomed hundreds of new and returning customers. And equally important, of those new customers we welcomed in the first half of the year, 50% purchased again in Q3. The S22 program is well underway. In addition to the portfolio optimization work Nick highlighted earlier, we've done the following: we've worked with external partners, including key suppliers and customers to develop a leading customer experience center of excellence to ensure we deliver customers with the easy, enjoyable and effortless experience they deserve. At the introspection of the integration process, it's good to be able to turn our complete attention externally again and put the customer firmly at the center of our activities. Leveraging learnings from key suppliers and existing customer feedback, including Net Promoter Scores, our initial focus will be on doing the fundamentals really well. In our Consumer and Industrial Solutions specialty verticals, Nick Powell has now completed his leadership structure, including both internal and external appointments. The team is made up of industry renowned professionals dedicated to leveraging all our resources to innovate and grow. Our breadth and depth of knowledge, premier product portfolio, deep technical expertise and solution centers provide differentiated benefits to our suppliers and customers. The ability this brings to ensure a consistently high level of specialty market intimacy in whatever geography we operate is something key partners tell us they want. The expansion of a dedicated approach by customer end market with a set of chemist's ingredients more commonly referred to as specialties will be an important driver of our mix enrichment goals. Our strong supplier partnerships remain a bedrock for our business and a source of competitive advantage, especially in times like these. Over the last few months, we've been awarded with new or expanding product authorizations from suppliers such as Azotic North America, ComStar, Daubert Chemicals, Huntsman, Novozymes and [indiscernible]. These partnerships along with the leading chemical and the brilliant products they bring, are a recognition of how our partners recognize the value of our end market expertise and digital capabilities to support their growth. We continue to build and expand a robust portfolio of product and solution capabilities. And as we look forward to putting the Nexeo integration process clearly in our rearview mirror, we developed a more externally focused customer-centric approach to drive growth. We believe the differentiated operating model we've deployed supported by an increased adoption of our digital tools will allow for both deeper customer intimacy and greater cost productivity throughout the end markets we serve. We continue to accelerate our omnichannel approach, better addressing current customer preferences. We expanded our podcast and customer webinar offering to promote the technical capabilities and stimulate demand for certain chemicals and ingredients in all regions, reaching over 1,000 customers in the quarter. Meanwhile chempoint.com, a long-standing dedicated digital-enabled sales channel, continues to advance in a marketplace where traditional sales methods are challenged. Overall, our digital footprint continued to deliver results, presenting another source of competitive advantage for us as customers search, select, source and self-serve in growing numbers, whatever the time of day or night, they choose. And as we operationalize the customer-centric focus I spoke of earlier, our recently launched where's my stuff feature has received rave reviews from our customers. Altogether, our digital foundation and committed sales force strategy is aimed to maximize the effectiveness and scale of our operations as well as making it easier for customers and suppliers to do business with us and deliver market share growth. We're confident that we're investing in the right tools to streamline the supply chain, innovate with customers and accelerate growth in step of consumers' changing preferences, while always staying in tune with specific local needs of customers. So before we come to your questions, to summarize, we delivered solid financial results during these challenging times. We're maintaining firm control of our working capital and other cash needs and expect to end the year with $750 million to $800 million of liquidity. We maintained momentum on our Nexeo integration program and are on track to achieve our $120 million of net synergies. We delivered $10 million of cost reductions in the quarter against the greater than $40 million of additional cost savings we identified this year, half of which are year-on-year. We're investing in furthering our digital advantage, to becoming increasingly attractive to our customers. The S22 program is tracking very well towards delivering growth in revenue and 9% EBITDA margins through global and functional exits. We remain on track to deliver at least $100 million in debt pay down from cash pre any proceeds from divestments. We're pleased to progress with our portfolio management, which is designed to lower our leverage to 3x by year-end 2021, and focused on strategies on our core business. We continue to see the opportunity to capture new business as we target growth through sales force effectiveness and omnichannel approach and the digital capabilities to better serve customers. By completing the Nexeo integration, the U.S. business systems migration and S22 in 2021, we will drive further focus on delivering operating agility and decisive actions to enhance our competitiveness that will increase our operational and financial flexibility. The company is positioned to capture greater value from the anticipated market recovery and growth opportunities ahead. And we believe these collective efforts will provide greater shareholder value. Thank you for your attention. Please stay healthy and safe. And with that, we'll open it up for your questions.
Operator: [Operator Instructions]. Our first question comes from Steve Byrne from Bank of America Securities.
Luke Washer: This is actually Luke Washer on for Steve. Your touch points were up 75% year-over-year, but sales were obviously down in the quarter. So I wanted to ask, how are you measuring the effectiveness of these touch points? Are you looking at kind of a win-loss ratio? And do you feel like you're gaining share from other suppliers?
David Jukes: I think that the sales organization, I think we're in pretty good shape at the moment. So I'm very pleased with how they've adapted to a changed sales model and how they're adapting to the sales routines that we are -- we put in place with them. So I'm pretty pleased with how that organization is going. I'm never happy, but I'm pleased. I think what you have to be mindful of, if you look at our top line, is that we have a headwind in our energy business, which will take some top line growth down. But if you look at the improvements in our mix and improvements in our margins, we're actually winning business and winning share in that core distribution business. So the quality of the business that we're winning and taking is a good business, and it's more the core kind of business for a chemical distribution company. So overall, I'm pretty pleased with how things are shaping up.
Luke Washer: Great. And just another one on Nexeo synergies. During the quarter, it looks like you got more Nexeo synergies than maybe you had expected before. But your full run rate of synergies through 2021 has remained the same at $120 million. So when you look at 3Q, was this kind of just a pull forward of those synergies? Or do you think you'd potentially identified opportunities for more consolidation or anything like that?
David Jukes: No, and we're very focused on our $120 million commitment. And so we were able to pull some things forward into Q3 as we go through the systems migration program and just are able to focus on a few things that we couldn't have got to earlier. But no, we committed to $120 million commitment. However, we have our S22 program, And clearly, we see opportunities there to optimize the business further. And so our focus is also on that now.
Operator: Our next question comes from Bob Koort from Goldman Sachs.
Robert Koort: I was struck a little bit in your partial guidance for next year about talking for organic growth to be aligned with the economic growth out there. I guess it seems a little bit out of line with the assertions of selling differentiated benefits to your suppliers and customers, specialty focus, the sales force traction. Why not have greater ambition on your sales development going into next year?
David Jukes: Well, I think we said, Bob, because it grow -- the rates were better. And that's how we see things. We do see the mix enrichment strategy working. We do see the greater focus on those differentiated end markets starting to work. But clearly, the economy is going to play a part in what we do, but we believe we can grow at least with the economy or better.
Robert Koort: All right. Maybe it's my semantics of in line versus at least in line. But Nick, let me ask you a question. You did mention a headwind from normalizing compensation and some of the COVID-related travel reductions this year. Can you dimensionalize that for us in the next year? How big of a delta could that be?
Nick Alexos: Yes, Bob. Thanks for the question, and thanks for your note last night as well. We aren't necessarily dimensionalizing it. I think as you would expect, in any recessionary period, you tend to pay less incentive comp. And as you recover, you have to absorb that incentive comp and any operating expense in your growth rate. So we're just trying to make that point so that people recognize that we will balance that as we target towards that 9% target, which would mean that you might see less increase in margin next year and then the proportional increase in 2022.
Robert Koort: And if I could sneak a last quick one in. You mentioned inventory write-downs in the Canadian ag business. How big is that? And why was that required? What product?
Nick Alexos: Yes. I mean, essentially, we decided to pursue an orderly exit of that business. And as you can see in the appendix, there's about $70 million of working capital left in the Canadian business that we will liquidate orderly over the next couple of quarters. Part of that is inventory. It's a small part of it, less than 1/3 of that is inventory. And we just reserved roughly $5 million in Q3 against that. We don't expect any material further risk against that going into the next few quarters, but it was really just taking a reserve against some of that inventory. It's all good inventory that will sell through into the season next year.
Operator: Our next question comes from Laurent Favre from Exane.
Laurent Favre: My first question is on oil and gas. So David, I was wondering if you could give us a sense of magnitude of the decline there. Your, I guess, closest peer talked about being down 1/3. Are we talking about the same magnitude? I know you have more upstream exposure, so maybe that's even worse than that. How small or how big is the business now when we think about the second half, for instance? That's the first question.
David Jukes: Laurent, so on our oil and gas business last year, in total -- our energy business last year in total was about 9% of our sales. As we go through this year, it's about 6% of our sales. Of that, probably just a little over 1/3 of that is upstream oil and gas, and that's halved this year. So it's been a significant headwind for us going into this year. We said at the start of the year, we expected a $20 million headwind from oil and gas. It's going to be at least probably double it, maybe a little more than double it. But what I am pleased to see is that we are growing our business in other places, improving the mix to partially offset that. Whilst I said the rig count is looking a little better for October, honestly, we don't expect any pickup in that business going forward, and it's built into our thoughts. And the business that we have these days in that sector is more specialized products. So we feel it's a bit more robust and better margin business than we would have traditionally had. So I think we're at the bottom.
Laurent Favre: And the second question was on the 2021 Nexeo integration step. So on one side, you're talking about cost of $60 million to $70 million, and on the other side, you have benefits of $25 million. We usually see a bigger ratio of cost to benefit at the beginning of an integration, not at the end. So I'm just wondering, can you remind us what's in that $60 million to $70 million? And are there in there some costs that are actually related also to the S22 program?
David Jukes: So there aren't costs related to the S22 program. It is -- certainly, in terms of the benefits from it, I mean, the last part of the benefits don't come to the beginning of 2022. There's a big chunky number there, and that comes when we can turn off the legacy IT systems. So until we can turn off the legacy IT systems -- long ago, you never got 5% of the legacy IT systems, I have to keep that environment up and alive. So I can't shut that down until 2022. And that's when the big benefit or the big chunky final benefit comes through.
Nick Alexos: And as you know, Laurent, there's a further incremental EBITDA pickup in 2022 in the last quarter, which is additive to that $25 million.
Operator: Our next question comes from Laurence Alexander from Jefferies.
Daniel Rizzo: It's Dan Rizzo on for Laurence. Could you provide color on -- I don't think we've heard in a while a news with suppliers. I was just wondering if it ged from here? Has it slowed during the pandemic? Or I mean is it where you want it to be?
David Jukes: Sorry, Dan, I didn't quite catch the question. What...
Daniel Rizzo: Agreements with suppliers is something you guys highlighted in the past. I was wondering if you can provide color on that.
David Jukes: Well, we have -- I think we announced 5 or 6 new agreements in the last quarter. Certainly, business is a little more complicated these days than it used to be, but we are now making good progress. We have a very focused group of people in our dedicated industry verticals, all focused on their end markets and the products and chemistries and ingredients that are required for their end markets and will bring benefit to customers. So we have a dedicated group and a dedicated team on that now as part of our Consumer Solutions and Industrial Solutions business under Nick Powell's leadership. So -- and also suppliers are now thinking about how they operate in this new normal. So I think that we'll see a slightly more accelerated rate in 2021 than we've seen in 2020, but we continue to make good progress as we referenced in the prepared remarks.
Daniel Rizzo: Okay. And then you mentioned what's going on with Canadian ag. I was wondering about other potential business line divestitures. Now obviously, you're not going to name them, but I was wondering where you are in the process. Is this type of view just getting started? Are you kind of -- is it ongoing thing? Or is it something that's almost completed? Just any color.
David Jukes: Well, Dan, I think we flagged up that we expect to get at least $200 million from divestitures. And we're on -- well on track with that. The ag business contributes to that. It helps that. We do have other things that we're considering. I would -- it's never a precise science, buying and selling businesses. I would hope that we can be through that in the early part of 2021.
Operator: Our next question comes from Kevin McCarthy from Vertical Research Partners.
Cory Murphy: This is Cory on for Kevin. As it relates to the ag business, I was wondering if you could give us some guidance maybe on what the EBITDA, the margin and timing of the closing of the deal is just so we can kind of get an idea of what that was contributing.
Nick Alexos: Yes. So Cory, there's two ag businesses. There's the distribution business, which, as we said, is being liquidated over time. That was broken out in our SEC filings, is roughly about a $300 million revenue business, not contributing a lot of EBITDA. So that's basically the $70 million of working capital. The ag services business that we've just executed this week, we're not disclosing the details. It's less than 1/4 of the total $200 million divestiture proceeds that we're targeting. And we just kind of called out that it's accretive to our leverage multiple. So I think it's a good outcome for the company and for us.
Cory Murphy: Got it. And just a slightly different tack here. How are logistics costs trending? I think shipping costs have risen. But like domestic shipping costs, how is that trending for you guys?
David Jukes: Certainly, third-party freight is a little tighter than it was a few months ago. So there is some tightness on that, but we do have -- most of our freight or not most of our freight, but 2/3 of our freight is on our own fleet, and so we can get operating effectiveness at our own fleet. The third-party freight prices are increasing because that market is tight at the moment. But I am glad that we have this fleet of our own that we can work and sweat harder. And as we consolidate assets down and we brings efficiencies into how we can manage that freight.
Operator: Our next question comes from David Begleiter from Deutsche Bank.
Katherine Griffin: This is Katherine Griffin on for David. First, I wanted to touch on the quarterly guidance. In Q3, of course, you did much better than we were expecting, just given some of the items in the bridge. It seems like with the guidance for Q4 today, that's playing out again. You seem a little bit like incrementally more negative just given the potential of more COVID-related shutdowns and normal seasonality. So I guess I'm just curious, like given where things were last quarter and some of the puts and takes that we thought about in the bridge from '19 to '20 for Q4, where are you seeing that upside? And can we think about this guidance as being conservative?
David Jukes: Well, Katherine, I think that what we can do is control our own business, and we're controlling that very well. We're controlling our expenses very well. And I think we're getting good growth and good share growth in those core chemical ingredient markets that we're focusing on. And we performed, I think, very creditably in Q3, especially given all the difficulties that we face -- that we all face, I mean not just operate in today. As we look forward to Q4, again, I think we said we had a good October, October in line with September. November and December are always short months. They seasonally turned down. But we are mindful of some of our European markets are already locking down, are already closing down. We are mindful that there's a rising incidence of cases in other geographies as well. So we don't really have a great crystal ball about what may or may not happen. So I think we are giving guidance -- I think we tried to establish a track record of guidance that we feel confident in that we can hit. That's what we have given you for Q4 as well.
Katherine Griffin: Okay. That's fair. And I was curious about your -- the call out of the decline in some of the essential end market demand as related to COVID-19. Sorry, can you hear me?
David Jukes: Yes. We can hear you, Katherine.
Katherine Griffin: Okay. Sorry. Yes. So I just wanted to ask a little bit more about the -- the call out of the decline in the essential end markets, that's really COVID. Is that entirely the -- like sanitizer sales, like over-earning sanitizers, is that equally kind of across like the pharmaceutical applications and water treatment? Just how should we think about that headwind?
David Jukes: Well, I think you should think about it related to our comments on quarter 2 where we called out that we were able to make up a better-than-normal margin on certain key products into certain central end markets simply because of the supply/demand situation on those key products and we were able to sell kind of yesterday's stock at today's prices. So there's some margin increase in that. And we think there'll still be a higher level of demand for essential end markets, but there won't be -- but prices are more normalized as supply and demand comes back into balance. And so those markets that you spoke about, water treatment, pharmaceutical, I mean we are in business to keep people clean, healthy and safe. And so those products that go into those markets will still be in demand, but there won't be the opportunity to -- or there won't be that we don't foresee the supply/demand in balance that would distort the margin quite the way you did in Q2.
Operator: Our next question comes from Michael McGinn.
Michael McGinn: Good quarter. Mike McGinn on for Mike McGinn. So I just wanted to put a finer point on the 2021 framework. I mean with -- you have -- it looks like the next year's synergies offsetting is a divestment EBITDA, but then you had the uptick in the comp that you mentioned in the end market, the favorable essential end market headwind. So just confirming that you guys are expecting EBITDA to be up year-over-year in 2021. Is that correct?
David Jukes: Well, at the moment, we're not giving guidance on 2021. What we're trying to do is give you some elements into our thinking as we look at that. We'll give 2020 on guidance when it comes to the February call.
Michael McGinn: Okay. But maybe on the end market growth growing in line with the market, what is -- what are you benchmarking to? Is it the industrial production? Chem manufacturers or railcar chemical volumes? Can any major metrics that you guys are calling out internally?
David Jukes: Yes. I mean it's GDP and industrial production. They're the kind of things that we look. I mean we look at a whole variety of metrics to try and get a view on what people think are going to happen. But GDP and industrial production are key drivers for us.
Michael McGinn: Okay. And then if I can sneak one more in on energy refining. Is there any noticeable difference between your exposure, whether you're larger IOCs or you have some exposure to smaller operators? And then just your general thoughts on industry consolidation in general and where you're positioned with some of the larger players?
David Jukes: Well, Mike, you may remember that we backed away from some of the larger players a few years ago as we kind of extricated ourselves out of some of the energy markets. So we have -- we still have business with some of the larger players, but it's a much lower level we would have had a couple of years ago. I think there's going to be some consolidation in that marketplace. And certainly, that's one place that we look at our outstanding debt very, very carefully because clearly, it's a place where there is a difficulty in the marketplace, and there is some underfunding. But we feel -- overall, we feel very confident about our ability to grow across other markets and retain that kind of specialty focus within the energy and refinery business that we are and then confident about how we can really grow in some of those Consumer Solutions, Industrial Solutions, general industrial markets, which are kind of much more robust for us longer term.
Operator: [Operator Instructions]. Our next question comes from Tom Burlton from Berenberg.
Thomas Burlton: Just a couple of follow-up points for me really. First one relates to those very helpful points as you gave us around the 2021 adjusted EBITDA. You called out the $40 million of cost savings that you've crystalized this year, half of which related the prior year. I just wondered if you could give us a sense -- apologies if I missed it -- of the sort of quantum of that cost savings you're boasting for as you go into 2021. And in particular, thinking about your comment around getting margin expansion towards the S22 target. So just any sort of quantifying of that year-over-year cost savings going into '21? And then a follow-up on the point around energy, you helpfully gave us some sort of guidance on the energy headwind as we ended this year. I appreciate that's an ever shrinking part of the business. But sort of as you see the world today? And what's the best estimate for the sort of run rate headwind as we head into 2021, please?
David Jukes: Sure, Tom. Thanks. I think that if you look at the cost savings, we're trying to give you some bits and pieces. So '21 and our general view that we can grow at least that and ahead of market. We're trying really hard not to nail down a number for 2021 at the moment because we're still doing our internal maths on our budgets and our plans. If you think about the $20 million -- $40 million of cost savings, I mean $20 million of those at least would reoccur into the following year. So we think those are costs which have gone rather than costs which are just flexed. And so you can kind of look at that number as part of our -- it's a number we have in our thinking going forward. In terms of the energy market, we don't really see energy as being a growth market for Univar Solutions. We do have some interesting pieces of the energy market, those more differentiated chemistries. We have a team of technicians and technical experts who kind of work on those things. So it's a more robust business that we have now within the energy market. But we don't see -- we don't expect a bounce back or growth in the energy market and nor are we staffing for that. What we are staffing for though is growth in other markets, much more robust markets, much more resilient markets like the Consumer Solutions markets, food, personal care, pharma, like Industrial Solutions business, cleaning, coatings, lubricants those kind of markets as well as growing share just through our local network of assets. We've got some fabulous assets, and we can handle chemicals incredibly safely -- house those chemicals incredibly safely. We see some really good opportunities to get better operating leverage through those assets. So we're very focused on that local business as well as well as our services business. So we see really good opportunities for growth in lots of other places. And we really aren't just betting all our chips on the oil and gas bubble anymore.
Operator: This concludes the Q&A portion of our call. And I would like to turn it back to Heather Kos for final comments.
Heather Kos: Thank you, ladies and gentlemen, for your interest in Univar Solutions. If you have any follow-up questions, please reach out to the Investor Relations team. This does conclude today's call.
Operator: Thank you. Ladies and gentlemen, this does indeed conclude the conference call. Thank you once again for participating. You may now disconnect.